Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:01 Good morning and thank you for joining Lincoln Financial Group's Fourth Quarter 2021 Earnings Conference Call. At this time, all lines are in a listen-only mode. Later, we'll announced the opportunity for questions and instructions will be given at that time.  00:23 Now, I would like to turn the conference over to the Vice President of Investor Relations, Al Copersino. Please go ahead, sir.
Al Copersino: 00:31 Thank you, Catherine. Good morning and welcome to Lincoln Financials’ fourth quarter earnings call. Before we begin, I have an important reminder. Any comments made during the call regarding future expectations, deposits, expenses, income from operations, share repurchases, and liquidity and capital resources are forward-looking statements under the Private Securities Litigation Reform Act of 1995. 00:56 These forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from current expectations. These risks and uncertainties include those described in the cautionary statement disclosures in our earnings release issued yesterday, as well as those detailed in our 2020 annual report on Form 10-K, most recent quarterly reports on Form 10-Q, and from time to time in our other filings with the SEC. 01:22 These forward-looking statements are made only as of today, and we undertake no obligation to update or revise any of them to reflect events or circumstances that occur after this date. We appreciate your participation today and invite you to visit Lincoln's website, www.lincolnfinancial.com, where you can find our press release and statistical supplement, which include full reconciliations of the non-GAAP measures used on the call, including adjusted return on equity and adjusted income from operations or adjusted operating income to the most comparable GAAP measures. 01:57 Presenting on today's call are Dennis Glass, President and Chief Executive Officer; and Randy Freitag, Chief Financial Officer and Head of Individual Life. After their prepared comments, we will move to the question-and-answer portion of the call. 02:11 I would now like to turn the call over to Dennis.
Dennis Glass: 02:15 Thank you, Al. Good morning everyone. In the fourth quarter and full-year, we again experienced elevated claims related to U.S. COVID deaths. Since the pandemics onset, we have been providing important financial protection for our customers during the most serious global health crisis in over a century. 02:39 Despite the magnitude of claims, our earnings have been strong enough to continue our share repurchase program by capital for new sales and maintain our overall financial strength. Looking through the significant COVID claims experienced in 2021, and adjusting out excess alternative income and notable items, we view underlying earnings power at about $10.50 per share, up 13% over 2020s comparable figure, and representing a 14% underlying ROE on book value, excluding AOCI. 03:27 We saw broad based sales growth this year in most of our businesses, good expense management, significant share repurchases, and an improved capital position. Looking forward, we expect EPS growth to meet or exceed our long-term expectations. Also supported by our actions to increase sales, significant expense savings related to the Spark Initiative and share buybacks. 03:59 Turning to our earnings growth drivers. As interest rates dropped, we started a new product strategy to reprice our portfolio to achieve target returns, shift our emphasis to less capital incentive products and add new solutions that expand our consumer value propositions. 04:22 We have been executing against the strategy and achieving our objectives. During 2021, we introduced 13 new products with more planned in early 2022. We continued our disciplined repricing across our portfolio, contributing to strong new business returns. 04:44 By combining these actions with the power of our distribution, we achieved significant 2021 sales growth in most businesses and drove increased operating revenues across all our businesses. We continue to successfully manage expenses, while improving operational effectiveness and the customer and producer experience. 05:09 Lincoln has a long history of successful cost savings initiatives. Most recent of which is our Spark Initiative as announced last quarter. By improving efficiency, leveraging automation and up-scaling our workers, we expect Spark to be very additive to our compound annual EPS growth rate from 2021 through 2024. Finally, share buybacks have been and are expected to remain an important element of our EPS growth. 05:47 Now turning to the business segments. In annuities, sales grew 20%, compared to the prior year quarter and 4% for the full-year. We expanded consumer choice within our already broad product portfolio and added new producers to our industry leading distribution force. Full-year sales growth was driven by sales of variable annuities without guaranteed living benefits. 06:18 Our sales of VAs with living benefits are generating strong returns, helped by a favorable competitive environment, rising rates, and a return enhancing flow reinsurance deal we executed in the third quarter. 06:35 The ongoing shift in sales mix towards products without living benefits started several years ago. We further advanced that effort by launching an index variable annuity in 2018. We supported the launch with increased shelf space and have since continued to innovate adding new investment options to both our indexed VA and our traditional VA without living benefits. 07:04 As a result, VAs with benefits have risen to over 70% of VAs sales more than twice their percentage in 2018. The strategic sales shift has also diversified our comp value mix. VAs with living benefits now account for less than half of our in-force annuity account value and based on our current sales mix will continue to decline. 07:38 We enter 2022 with solid footing in the annuities business, with strong co-ordination among manufacturing, risk management, and distribution. In Retirement Plan Services, we are successfully capitalizing on the opportunities in the market, thanks to our innovative product portfolio, differentiated, high-tech, high-touch, service model and breadth and depth of distribution. 08:09 Fourth quarter total deposits were up double-digits, both sequentially and compared to the prior year quarter. Full-year total deposits rose 8% to $10.8 billion a record with growth in both first year sales and recurring deposits, contributing to our seventh consecutive year of positive net flows. 08:37 Retirement Plan Services enters 2022 in terrific shape with a robust sales pipeline and an expanded product portfolio. We are benefiting from the improved environment for retirement businesses as wage growth, contribution rates, and increases in employer deposits are all serving as tailwinds for deposit growth. 09:04 Finally, we remain well positioned competitively in our target markets of small and mid-case 401-K, healthcare, government, and not-for-profit as evidenced by our consistent multi-year track record of positive net flows and strong returns. 09:28 Turning to Life Insurance. We entered 2021 with a well-positioned portfolio of solutions repriced to ensure strong returns in a low interest rate environment. Throughout 2021, we launched new innovative risk sharing solutions to help grow the top line. 09:48 We introduced seven new products contributing to fourth quarter sales growth of 53% sequentially and 121% over the prior year quarter. This sales strength was broad based with every major product category, reporting double-digit growth, including record term life sales and substantial growth in executive benefits. 10:19 Even more significantly, nearly 30% of our sales this quarter, consisted of solutions and features that didn't exist before 2021. For instance, variable MoneyGuard represented  of total MoneyGuard sales. 10:40 In 2021, we also continued to build on our distribution force adding over 12,000 new producers who had never sold a Lincoln like policy before. An example of this growth was in our new partnership in the P&C channel. New producers across channels are finding our repositioned and expanded product portfolio attractive, demonstrating the synergies between our product innovation and distribution expansion. 11:12 Finally, we continued to build on our digital capabilities. In 2021, our   application continued to decline as our automated underwriting and digital processing capabilities are driving efficiencies, while improving the customer experience. In 2022, we will continue to innovate with product launches planned for the first half of the year, expand our distribution franchise, and enhance our operations with digital investments. 11:45 Now, moving to Group Protection. Let me focus first on profitability. The group business is managing through a challenging environment as pandemic claims increased in the fourth quarter. Group's full-year underlying margins normalize for above target alternative income, pandemic claims, and a notable item was slightly below our targeted 5% to 7% range. 12:15 We expect to achieve ongoing margin improvement in group building to the high-end of our target with improvement coming from a three-part strategic effort. First, is continued pricing discipline. We've strengthened pricing in 2020 and continue to make additional changes where necessary. 12:39 Second, is claims management, including our ongoing investment in claims staffing combined with a more streamlined and effective approach to claims operations. Lastly, is cost efficiency, aided by our recently announced Spark Initiative. We expect these three efforts to drive approximately equal contributions to margin expansion. 13:08 Turning to the top line, we achieved 4% premium growth for the year and 6% for the quarter, which is a result of strong persistency, up over 2 percentage points for the full-year to 89.2% and successful execution of ongoing rate increases. 13:30 Sales declined 17% for the full-year and 14% in the fourth quarter as we maintained our pricing discipline. Our focus on strategic market segments has resulted in an increase in employee paid products, which comprised 43% of total sales in 2021, up from 39% in 2020. And we are starting to see a shift towards supplemental health solutions, including our new hospital indemnity product. This shift is still in its early days, but we expect it will ultimately add to our earnings diversity and consumer value propositions. 14:20 Although the pandemic is a challenging time, the group business remains a key contributor to Lincoln’s diversified business portfolio and we are confident in its earnings potential. A few words on one of our key competitive advantages, our powerful distribution force. As the industry continually evolves, the strength of our distribution franchises remain a constant. 14:46 We are known in the marketplace for our consistent distribution presence with broad reach across distribution channels. Over 90,000 active producers sell our products and through strategic investments in technology and training, we are influencing where and how we engage with financial professionals, leading with a virtual first model for the long-term. 15:12 As wholesalers and reps have begun to meet in person with their clients, they continue to leverage virtual tools, which improve the service we deliver, raise productivity, and help lower costs, and our efforts are being recognized as we received two industry awards in 2021 for innovation in virtual training and digital marketing. 15:38 Briefly on investments, the fourth quarter   outstanding results. We again reported excellent credit performance with another quarter of positive net ratings migration and negligible losses. In 2021, the portion of our fixed income assets rated investment grade or equivalent rose to 97%. This quarter, we invested new money at 2.9%, a 20 basis point sequential increase as we continue to benefit from a multi-manager platform. 16:17 During 2021, we invested 35% of new money in assets other than public corporates, yielding approximately 100 basis points more than comparably rated public corporates of similar duration. 16:35 For full-year 2021, our new money duration fell to about 7.5 years from 10 years with the decline reflecting Lincoln’s disciplined approach to asset liability management and our shift to a less interest rate sensitive product mix. 16:57 Finally, we reported a quarterly return on alternative investments of 4% compared to our targeted return of 2.5%. For the year, we generated an outstanding 29% return versus our 10% annual targeted return. 17:20 In summary, the claims environment has been challenging, but full-year 2021 underlying EPS grew substantially. We expect our top line momentum to continue. We expect the SPARK cost savings initiative, which will more than offset spread compression to add to our EPS growth over the next few years. Enabled by our balance sheet and earnings strength, we continue to return capital to shareholders. 17:54 In sum, our earnings power continues to grow, and we remain confident in our ability to achieve underlying EPS growth at or above the high-end of our 8% to 10% target range. 18:11 I will now turn the call over to Randy.
Randy Freitag: 18:15 Thank you, Dennis. Last night, we reported fourth quarter adjusted operating income of $286 million or $1.56 per share. There were no notable items in the current or prior year quarter. However, this quarter's results were impacted by pandemic related claims, which reduced earnings by $197 million or $1.08 per share. 18:47 While results benefited from alternative investment income, boosting earnings by $29 million or $0.16 per share above target. Additionally, we experienced some unfavorable non-pandemic impacts to mortality and morbidity that I will discuss further in the Life and Group protection commentary. 19:11 Our underlying earnings power continues to be strong as we exit the quarter. Net income totaled $220 million or $1.20 per share, as strong performance from our credit portfolio was offset by hedge breakage and non-economic variable annuity non-performance risk. For the full-year, net income, EPS came in at 91% of adjusted operating EPS with the difference primarily driven by non-economic variable annuity non-performance risk. 19:52 Moving to the performance of key financial metrics. Average account values increased 10%, a continued focus on expense management led to a 10 basis point improvement in our expense ratios. And the book value per share, excluding AOCI grew 9%, which stands at $78.05, an all-time high. 20:19 Before turning to the segments, I want to provide an update on the Spark Initiative as we close out the year. Last quarter, we provided details on Spark, which we expect will result in 260 million to 300 million pre-tax and run rate savings by the end of 2024. And this remains unchanged. 20:41 Looking at 2022, we expect a net impact in a negative 25 million to 65 million range pre-tax, as this year will be the peak investment year for the initiative. This compares to an immaterial impact in 2021 as we were able to accelerate savings to offset the investments made. 21:06 As a reminder, we will run the investment through the other operation segment, while the savings will be spread throughout the businesses. 21:17 Now, turning to segment results, starting with annuities. Operating income for the quarter was $332 million, compared to $289 million in the prior year period. The increase was primarily driven by higher account values, which was a result of growth in the equity markets and expense efficiency. 21:42 Average account values of $171 billion increased 13% year-over-year, while revenue growth of 10% for the quarter resulted in a 110 basis point improvement in the expense ratio. Return metrics remained excellent with return on assets coming in at 78 basis points and return on equity at 25%. 22:11 Risk metrics on our VA book once again demonstrate the quality of our in-force with a net amount at risk at 53 basis points of account values for living benefits and at 34 basis points for debt benefits. 22:27 2021 was another excellent year for annuity business, and we are well-positioned for continued strong performance in 2022. Retirement Plan Services reported operating income of $57 million, compared to $49 million in the prior year quarter with the increase driven by higher fees and account values, positive full-year net flows, and continued expense efficiency. 22:59 Favorable equity markets and the positive flows   fourth quarter average account values, up 17% to $98 billion. The expense ratio improved 40 basis points over the prior year quarter and 170 basis points for the year, driven by continued diligent expense management. 23:25 Base spreads, excluding variable investment income compressed 2 basis points versus the prior year quarter and 7 basis points for the full-year, better than our previously communicated 10 basis point to 15 basis point range, a result of continued management of crediting rates. 23:44 Going forward, we expect spread decline to be in the 5 basis point to 10 basis point range. Overall, another excellent year for the retirement business capped off by a great quarter, positioning the business for continued success in 2022. 24:06 Turning to Life Insurance, operating income for the quarter was $80 million versus $144 million in the prior year quarters. This quarter's results were impacted by pandemic claims and unfavorable underlying mortality with some offset from alternative investment income. 24:28 Elevated mortality related to the pandemic with $66 million in the quarter, compared to $113 million in the prior-year quarter. This quarter's impact per 10,000 U.S. COVID deaths improved year-over-year and sequentially as expected. 24:49 In addition to the impacts of the pandemic, underlying mortality was negatively impacted by $34 million. This was primarily driven by claims incurred during the third quarter, but not reported until the fourth. 25:08 For full-year 2021, excluding the impact of the pandemic, our actual to expected mortality ratio came in at 100%. While alternative investment income was less favorable than the prior year quarter, the current quarter did include $22 million of excess alternative investment income. 25:34 A recent block reinsurance transaction reduced  earning by $10 million, in-line with our expectations. And as a reminder, the results from the prior year quarter included a $20 million favorable one-time item. 25:52 Key metrics impacted by the transaction include average account values, which would have been up 7%, excluding impacts from the deal and base spreads, which were favorably impacted and should move back towards our expectations of a 5 basis point to 10 basis point decrease annually. 26:13 While strong sales drove an increase in the quarterly expense ratio, we did see improvement in the full-year results with the expense ratio declining 20 basis points. Though we continue to expect some impacts from the pandemic, growth in earnings drivers underlying long-term mortality results in-line with expectations and continued expense discipline keep us optimistic about the future of the business. 26:45 Group Protection reported an operating loss of $115 million, compared to an operating loss of $42 million in the prior year quarter, with the decrease primarily driven by $131 million of pandemic claims. 27:05 Additionally, Group earnings were negatively impacted by other items during the quarter, including $25 million to $30 million of seasonally higher fourth quarter disability claims and expenses and approximately 15 million of underlying disability results. We attribute the underlying disability results to a combination of normal quarterly volatility and indirect influence of the pandemic. 27:37 Like prior quarters, the pandemic impact was primarily mortality related with $115 million of life claims and 16 million of visibility claims. The life claim impact per 10,000 COVID deaths declined from third quarter levels to $9.2 million as the percentage of working age deaths declined somewhat. 28:04 While the pandemic’s impact on Group earnings will vary quarter-to-quarter, we remain confident that the fundamentals of the business are solid and the actions we are taking will over time get us to the high-end of our targeted margin range. 28:21 Turning to capital and capital management. We ended the quarter with $10.4 billion of statutory capital and estimate our RBC ratio at 428%. The NAIC’s new C1 factors went into effect at year-end, which lowered our RBC ratio by approximately 20 percentage points this quarter. 28:52 Cash at the holding company stands at $1.1 billion above our $450 million target as we have pre-funded our $300 million 2022 debt maturity and retained 400 million of proceeds from the life block sale for additional incremental share repurchases. These will commence shortly via an accelerated share repurchase program that should be completed by the end of the first quarter. 29:28 We deployed $650 million towards buybacks in the fourth quarter included 150 million of ongoing quarterly share repurchases and 500 million in incremental share repurchases with proceeds from the block reinsurance deal. As I mentioned last quarter, the timing of ongoing buybacks may be influenced by the accelerated share repurchase program. 29:58 To conclude, 2021 was certainly a year that continued to be challenged by the pandemic. But as we enter 2022, we feel confident in our ability to continue to tackle any challenges that lie ahead as we have positioned Lincoln to continue its track record of delivering for customers, employees, and shareholders. 30:26 In summary, we delivered on our promises to customers with nearly 650 million of pandemic related earnings impacts. While continuing to strengthen our balance sheet, ending the year with estimated RBC ratio of 428% while absorbing the impacts from the C1 factor changes. We continued to achieve organic growth with a portfolio including new and innovative products driving strong returns. 31:02 We delivered powerful earnings growth with reported operating EPS, excluding notable items up 20%. We continued our strong track record of capital return with 1.4 billion of buybacks and dividends and with the addition of the Spark Initiative have positioned Lincoln to continue to grow EPS over the next three years at or above our long-term aspirations of 8% to 10%. 31:37 With that, let me turn the call back over to Al.
Al Copersino: 31:41 Thank you, Dennis and Randy. We will now begin the question-and-answer portion of the call. As a reminder, we expect you please limit yourself to one question and one follow-up and then requeue if we have additional questions. 31:54 With that, let me turn the call over to Catherine to begin Q and A.
Operator: 32:00 Thank you.  Our first question comes from Tom Gallagher with EVR. Your line is open.
Tom Gallagher: 32:23 Thank you. First question, can you talk about the strength in individual life insurance sales for the quarter? They roughly doubled. Did you announce pricing changes with those sales in anticipation of that or just a little more color about what drove the strength of individual life sales?
Randy Freitag: 32:48 Tom, it's Randy. A number of factors that drove that outcome, which was in-line with our expectations. If we went back to the fourth quarter of last year first, we talked about – that was the point when all of our products had been repriced over shortly to be up repriced and so we expected sales to be at a low point at that moment in time. So, we're comparing to the low point from a life sales standpoint. 33:20 Then in addition to all those repriced products, this year, we added as Dennis mentioned seven new products. Used one example, MoneyGuard product, variable MoneyGuard product, which did not exist in the fourth quarter of last year, but represented 42% of the sales in that particular product area. 33:43 Dennis also mentioned some new distribution partners in the P&C channel and that really drove some great results, especially in the term business. So, it's a combination Tom of all of those new products. The fact that last year was as we communicated an expected low point. And then the third factor, I would just mention, the fourth quarter is typically in a normal year the biggest quarter for life sales. It's been that way as long as I've been in the industry. So, that's what I would say, Tom.
Tom Gallagher: 34:16 Okay, thanks. And then my follow-up is, if I look at the performance of your Group business, the deterioration in overall loss ratio has been worse than peers. I’m curious, if – when you sort of step back and look at that business, do you think there needs to be any repositioning of the block from a risk selection standpoint or do you think it's kind of just volatility that's occurring from the pandemic, some random aspects to it and getting enough rate or getting rate is all you need in terms of what you see lying ahead?
Dennis Glass: 34:54 Tom, Dennis. At the at the top, we think we have a very strong book of business and we're very confident that these two or three strategies that I mentioned are going to get us to the top end of our 5% to 7% margin over the next few years. I'm very optimistic about the group business and it's significantly – a significant opportunity to increase earnings over the next couple of years. So, we feel pretty good about it. 35:30 Randy, do you want to add any details on the quarter?
Randy Freitag: 35:35 Yeah. Tom, thanks for the question. I think from a starting point, you've got the pandemic, which over the back half of 2021 started to hit Group businesses not just at Lincoln, across the industry in a more material way that was we believe as I've heard others talk about had to do with the shift and who was dying from COVID. An approximate doubling of the working age population percentage of COVID-related deaths. 36:08 As it came down a little bit in the fourth quarter and went from 40% in the third quarter to 35% in the fourth quarter. And I think that was the driver of why our mortality impacts came down a little bit, but once again Group business, our Group business across the industry when I look at it got hit in a similar way and that impact grew over the course of 2021. It culminated in the fourth quarter, an impact of $131 million,   of that for mortality. So, that's that aspect. 36:40 Now, there are two other aspects about our quarter. And let me talk about those. The first is, I talked about in my prepared remarks Tom, 15 million of underlying negative results in our Disability business. You can really see that in the loss ratio. If you exclude the pandemic in our disability business, we had about an 87% loss ratio in the fourth quarter, that was a little over 83%, last year in the fourth quarter. It’s up about 4 points. And that's that 15 million of underlying negative results that I talked about. 37:19 We think there's two factors in there. First, we saw a blip in severity. Severity is run in a pretty tight channel for an extended period of time, and we saw jump up this quarter. We think that sort of normal volatility and I mentioned that on my script. The other fact, that we see when we look at our results is incidents, which ticked up a little bit. We think that's more influenced by the pandemic. 37:46 If you think about care across the United States Healthcare System throughout the pandemic, I think there’s been some deferred care, there's some other things that have caused a slight tick-up in incidence. And I think that's going to take a little longer to work out. I think we're going to be working on that over the course of 2022. So, that's the underlying component. 38:09 Additionally, I talked about the seasonality, which we hear at Lincoln have seen for some time in the fourth quarter, $25 million to $30 million that's made up of expenses, which typically go up a little bit in the fourth quarter, and then on the disability results. When we think about why do we have seasonality in the fourth quarter, in our disability results? There's really three things that we typically see. 38:38 The first is on the incident side. We really have to do our biggest  quarter from an STD standpoint into the second quarter, and  in those role in the fourth quarter after a six-month waiting period. 38:51 The second factor we typically see is resolutions. Seasonally, their lowest in the fourth quarter. We think that has a lot to do with holidays, etcetera. Doctor's office was just harder to get information. So, we typically see – we still have a good result, but seasonally we typically see it at its lowest level in the fourth quarter and we saw that again. 39:15 And then the last side is, we typically also see seasonally our social security offset drop in the fourth quarter and once again we saw that. So, that's what we attribute the seasonal aspect. And we would expect that to go back to what we've seen in the first quarter. So, I hope that helps Tom? Hope that answers your question?
Tom Gallagher: 39:34 That does. Thanks guys.
Operator: 39:38 Thank you. And our next question comes from Suneet Kamath with Jefferies. Your line is open.
Suneet Kamath: 39:44 Great. Thanks. Just first on the alternatives, can you give us a sense of how much of this year's VII was marks as opposed to realized gains and maybe how that compares to prior years?
Dennis Glass : 40:00 Suneet. The portfolio is turning over. So, at a big picture level, we're converting some of the gains to cash. We'll have to get back down the details, but it's not just an increase in the marks. We're converting into cash and reinvesting the proceeds in new business – new investment, excuse me.
Suneet Kamath: 40:31 Got it. Okay. All right. And then, I guess on the annuities, I mean your sales were strong, for the year, but the flows were still pretty negative there I think 2.6 billion, I guess, what is your outlook as we think about 2022 and beyond at what point does this business start to return into inflows? Thanks.
Dennis Glass: 40:51 Yes, the outflows are made up of both – a little bit more on the fixed annuity side, which is a result of our repricing of that business. The fixed annuities is a good business, if properly priced draws a lot of capital, so you’d have to make sure the return is appropriate. 41:14 On the VA side, I think what we're seeing, not I think, what we're seeing is, our ratio of, sort of the ongoing surrenders and so forth is staying pretty consistent, but at the same time account values are going up. And so, you have a little bit more account value impact on the outflow rate. So, we're confident of the annuity business to be growing over time of how the net flows work out? It’s a function of couple of different things, but good business. 41:49 I would say, we're getting excellent returns on the capital that we're putting behind, both the business with guaranteed living benefits, as well as the business without guaranteed benefits,  . And I'll just come back to what we've been saying about this business for a long time by staying in the market consistently in good times and bad times, we have produced one of best quality in-force books of business in the industry, and we expect that to continue and to help drive earnings over the next couple of years.
Suneet Kamath: 42:33 Okay. Thanks.
Operator: 42:38 Thank you. Our next question comes from Tracy Benguigui with Barclays. Your line is open.
Tracy Benguigui: 42:45 Thank you. Good morning. I noticed that you grew your VA with GLB by a healthy 65% year-over-year. I guess, is some of the thinking that this is really an investment only VA considering your reinsurance flow deal with ? So that basically allows you to grow, but not take incremental risk?
Randy Freitag: 43:08 Tracy, this is Randy. Yes, that was a component of growing sales, right. If you remember on the  deal, it had a maximum sales of 1.5 billion and it ran through next June. So, yeah, it was definitely component. Now, in and of itself, the growth, I think it's – once again, it's similar to the life story. The fourth quarter of last year was the lowest quarter we've ever had. It was a very low fourth quarter of 2020. 43:44 So, I think some of that growth. If you look at more recent quarters, sequential quarters, you have a much more smooth pattern of growth. There's no specific strategy to, hey we're going to grow VA with living benefits or we're going to grow this. Once again, our strategy is the pricing of products appropriately have a very diversified portfolio and let consumers choose among those products as their preference shift. 44:13 What we believe that's going to lead to over time is something similar to what you saw this year, about a quarter of our sales over the course of 2021, where VA is with guarantees, about 75% were fixed or VAs is life guarantees. I think that's a reasonable expectation and that mix over time should pull our overall account value mix towards that over time. 44:43 And just as a reminder, Dennis said in his script, we reached a point now where less than 50% of our comp values, our VA with guarantees and the current sales mix is about 25%. So it'll take a long time, but that's where you would eventually expect to move over time. Did that help, Tracy?
Tracy Benguigui: 45:02 Okay. Yes, that helps. Thank you. And then also last quarter you talked about spread compression running between 2% and 3% so that could trend down to 1% to 2%, just wanted to know your latest outlook just given some of the asset allocation updates you made in 2021 on new money and also considering rising interest rates albeit through the flattening yield curve?
Dennis Glass: 45:28 Tracy. Spread compression has come down. It's come down as we’ve moved into 2022 as rates have moved up a little bit or definitively at the low end of that range and we expect it to continue to decline. I think when you look forward, there will be a point in the not too distant future where we formally communicated more in the 1% to 2% range than the 2% to 3%, which is our current public guidance.
Tracy Benguigui: 45:57 Okay. Got it. Thank you.
Operator: 46:01 Thank you. Our next question comes from Alex Scott with Goldman Sachs. Your line is open.
Alex Scott: 46:07 Hi. First question I had was a little bit of a housekeeping item. I guess, I just wanted to confirm on the higher-end of the 8% to 10% EPS growth that you kind of talked about or even exceeding it? Should I think about that completely separate from the 5% accretion that you sort of communicated around the life across block transaction?
Randy Freitag: 46:32 I think you should think about those all altogether, right. So, part of the reason we are very confident in our ability to grow above, at or above that 8% to 10% guidance is the impact of the Spark Initiative, but also it's the fact that we'll have a slightly elevated share count reduction embedded in that analysis associated with the 900 million in buybacks that we're doing as part of  .
Alex Scott: 47:05 Understood. Okay. And the second question on related, we've got more inquiries about the department of labor and just, sort of the process that they seem to be beginning to ramp up potential to take another look at the fiduciary rule, I guess I'd just be interested in your perspective on that and what's going on and also what might be different like this time around versus I think the experience investors probably remember from the 2016 time period?
Dennis Glass : 47:35 Alex, I don't know that we have any more insight than anyone else does because it's evolving as we speak. But as a general observation, I think because of the changes the last time around and the way the industry has reacted to them, and Lincoln in particular that there's no overriding concern about the effect of expansion of the fiduciary rule on the way we do business, we think we can accommodate most of the range of outcomes that we expect.
Alex Scott: 48:13 Thanks.
Operator: 48:17 Thank you. Our next question comes from Josh Shanker with Bank of America. Your line is open.
Josh Shanker: 48:23 Yeah. I just wanted to get a little color on the   sales, I don't know where interest rates are whether it's attractive, there were during the pandemic, a lot of less rated companies besides Lincoln and were successful in selling FIA’s and multi-year guarantees and whatnot and Lincoln wasn't going to chase price and now the growth is pretty good, is that a behavior that's changing among your distributors? Has the price into to a point where Lincoln’s products are more attractive? How is that working exactly?
Dennis Glass : 48:58 Josh, we're very comfortable with the business that we're selling and getting the appropriate returns on it. The, sort of the competitive environment can change very quickly. I think we change rates every two weeks based on what's happening in the marketplace. But I want to come back to, but not, we were very careful about getting the right return on the capital we're deploying the high and new sales. 49:25 We have very strict rules and governance around that. And candidly, the overall risk profile of the products over time. So, we feel good about the fixed income annuity pricing, the product risk characteristics from the shareholder point of view, and the return that we're getting on new capital.
Josh Shanker: 49:46 And why do you think they didn't sell so well 12 months ago? It’s  sold in the market at all.
Dennis Glass: 49:55 For Lincoln or for the industry?
Josh Shanker: 49:57 For the – I mean compared to industry, Lincoln seemed to, I mean, you might have been pulling back to some extent, but obviously I don't know if the rates have changed that much or maybe they have, maybe the economics are much very different from what they were a year ago.
Dennis Glass: 50:12 Rates are improving as we all know, and that affects the value proposition for the customer. We've also added some new indexes that have made for the breadth of customers interest wider, which helps increase our sales. 50:29 So, it's this consistent product development, adding new features, I actually mentioned this in my comments, and maintaining a good risk profile for the product, as well as return capital behind the products.
Randy Freitag: 50:47 Josh, I would just point out that we’re very – as Dennis said, we're very happy what the returns we're getting and very happy with the sales we're seeing. If you look overall, longer-term like this year compared to last year, I think our fixed sales are actually down, compared to last year. 51:04 So, over the longer-term, you continue to price to get our targeted returns and the sales will come as they do. Thanks.
Josh Shanker: 51:16 Thanks.
Operator: 51:20 Thank you. Our next question comes from Elyse Greenspan with Wells Fargo. Your line is open.
Elyse Greenspan: 51:26 Hi, thanks. Good morning. My first question, I just was hoping to get some more color on what drove that elevated mortality away from COVID within the life business in the quarter? And any expectations you can give us when we think about modeling in the Q1 2022 and beyond?
Dennis Glass : 51:47 Elyse, thanks for the question. I think as I mentioned in my script, when we pull out the pandemic impacts for the full-year, our actual expected was exactly at 100%, you know right in line with our expectations. Now, inside of the quarters, that consisted of the first half of the year that was a little better than our expectations in the back half of the year, that was a little worse than our expectations. The quarter itself, the 24 million of underlying mortality, I think I mentioned this in the script. 52:18 It was driven actually by claims that occurred in the third quarter, but didn't get reported into the fourth quarter. Essentially, the IBNR was a little under stated at the end of the third quarter. Now, when you think about  , I looked at it over the last few years. 52:39 If you sum up all the pluses and minuses, it adds up to exactly zero, but inside you will have some quarters where it’s a little low in some quarters where it's a little high, and then the third quarter happened to be one where we were just a little under accrued from   standpoint and that hit us – that really drove to 24 million.
Elyse Greenspan: 52:59 Okay. And then in terms of the Spark Initiative, I think you mentioned some more savings than expected came through in the quarter. Is there any sense you can give us the geography by segment? And then, is the right way to think about getting to the top end of that 5% to 7% target within group meeting in highs that we need to go through the whole Spark program and realized all of the expense savings or can you just help us think about, help us think about the timeframe there?
Dennis Glass: 53:34 Elyse, let me speak to the second half of your question with respect to group margins. We're very confident in getting to the 5% to 7%. And as I mentioned, there's three components of that. That have about equal weight. The first one is the continuation of strengthening our pricing. We're getting good single-digit increases in pricing at the moment. 54:03 We expect that to help, and again, provide about a third – the improvement to the 5% to 7% over time. The second piece is, we're actually investing money in our claims management process. Systems and other types of new ways, running claims to get our claims management process, slightly better shaped than it is today. 54:36 And then the third one is the Spark Initiative. And so, it will develop over the next three years. So, once again, the in-force book of business is fine. We need to do some repricing in these three initiatives. Will get us to the 5% to 7% range over the next several years.
Elyse Greenspan: 55:06 And then just in terms of the Spark savings, how they're trending through the segments, can you just give us a sense in the fourth quarter?
Randy Freitag: 55:14  , I don't have any specific information segment by segment in the quarter, our expectation is that the 260 million to 300 million of run rate savings would be spread across the businesses, really in line with their level of expenses, compared to the total expenses. So, we expect it to be uniform when we – and how that will manifest in numbers you can see is that we expect our expense ratios to continue to climb as they've done for a long, long time across Lincoln.
Elyse Greenspan: 55:51 Thank you.
Operator: 55:55 Thank you. Our next question comes from Erik Bass with Autonomous Research. Your line is open.
Erik Bass: 56:01 Hi. Thank you. In the buffered annuity market, it looks like you’ve seated some market share in recent quarters, is this a reflection of more competition coming into the product? And are you seeing any signs of aggressive features or pricing in the market?
Dennis Glass : 56:16 Erik, certainly a lot more – there are a lot more people offering the product. There's some unique product feature developments that I think are good for the space in general. We just continued to use the strength of our distribution, our pricing requirements, and sometimes together a little more market share sometimes last, but over time it's a good product, it's not guaranteed. 56:45 And back to what we've done so well in the annuity business, actually in all of our businesses, consistently in the market with good quality products delivering good consumer values, improving them, and paying a lot of attention to getting the right return on capital behind those products.
Erik Bass: 57:05 Got it. Thank you. And then as we think about ordinary dividend capacity for 2022, how much impact will there be from the high COVID loss in 2021? And will this have any material impact on cash flow to the holding company?
Dennis Glass : 57:21 Erik, no. If you think about even the last two years, Indiana is a greater upstate, so our dividend capacity has been driven by the significant amount of capital inside of LNL. That was the case this year. We had no problem getting dividends out and no expectation that we’ll have any limitations in 2022 relative to our needs.
Erik Bass: 57:48 Got it. Thank you.
Operator: 57:52 Thank you. And that's all the time we have for questions today. I'd like to turn the call back to Al Copersino for closing remarks.
Al Copersino: 58:00 Well, thank you all for joining us this morning. As always, we are happy to take any follow-up questions that you have. You can email us at InvestorRelations@LFG.com. Thank you all and have a great day.
Operator: 58:14 This concludes today's conference call. Thank you for participating. You may now disconnect. Speakers, please stand by.